Operator: Good day and welcome to the Old Republic International First Half 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. I would like to remind everyone that this conference is being recorded. I would now like to turn the conference over to Marilynn Meek with MWW Group. Please go ahead.
Marilynn Meek: Thank you, Lauren. Good afternoon, everyone and thank you for joining us for the Old Republic conference call to discuss first half 2017 results. This morning, we distributed a copy of the press release and posted a separate statistical supplement, which we assume you have seen and/or otherwise have access to during the call. Both documents are available at Old Republic’s website, which is www.oldrepublic.com. Please be advised that this call may involve forward-looking statements as discussed in the press release and statistical supplement dated July 27, 2017. Risks associated with these statements can be found in the company’s latest SEC filings. Participating in today’s call, we have Karl Mueller, Senior Vice President and Chief Financial Officer; Craig Smiddy, President of the Old Republic General Insurance Group; Rande Yeager, Chief Executive Officer at the Old Republic Title Insurance Company; and Al Zucaro, Chairman and Chief Executive Officer. At this time, I’d like to turn the call over to Al Zucaro. Please go ahead, sir.
Al Zucaro: Okay. Thank you, then. Good afternoon from all of us at Old Republic. So to just get the ball rolling, I’ll just point to a few key items and takeaways from both the release as well as the financial supplement that Marilynn just mentioned. Starting with the results for the most recent quarter, we would say that they were relatively stable for the general insurance business. And in this, I have to say we were a bit disappointed by the relatively tepid growth at the top of the income statement and as well as the bottom line, which was obviously pressured as you see by greater claim costs. As I'm sure that as Craig Smiddy will note in a few minutes, our general insurance business does continue to improve very gradually on the underwriting front and that’s our main focus as you know. The slower progress that we are experiencing in general insurance however was remedied as, by the very fine results we are posting in the title insurance part of our business. And in this case also, Rande Yeager will go over the key elements that continue to drive the underwriting results in this part of the business and of course, on title insurance more so than any other Old Republic business. The results from underwriting and related services are important elements since the business is not one that generates the same degree of investment income as we have elsewhere in our business. And then when Karl Mueller’s turn comes, he will point to some of the more important financial elements of our, of the makeup of our company’s financial wherewithal and which is all supportive of the progress that we’re making from a consolidated standpoint. So now, I’ll -- without much more ado, I’ll just turn the discussion over to you, Craig Smiddy, and for comments on our general insurance business. Okay?
Craig Smiddy: All right. Thank you, Al. [indiscernible] of 3.7% and year-to-date of 3.5% when comparing this to the same period in 2016. We experienced greater writings in most lines of coverage, especially in commercial auto where rate increase continue to earn through. However, positive changes were offset by a reduction in workers compensation writings where rate increases are currently more difficult to achieve in that coverage. We have experienced strong persistency ratios in our renewal business as well as reasonable growth of new business, including increasing premiums that we're seeing in our newest underwriting operation that we announced back in 2015. As is always the case, all of our underwriting operations are operating in a very competitive environment fueled by a perception of excess capital in the insurance and reinsurance marketplace, but we think that we’re more than holding our own in most parts of our business at this point of the cycle. The group’s overall composite ratio increased just over 2 percentage points to 100.1% in the second quarter compared to 97.8% for the same quarter last year. Year-to-date, the composite ratio is relatively stable compared to last year at 98% versus 90%. The group’s expense ratio of 26, excuse me of 25.6 for the second quarter was slightly less than the 26% in the same quarter last year. Year-to-date, these results are relatively stable at 25.2% compared to 25% last year, in line with the past 10 years’ average and our long term expectations. As shown in the statistical exhibit, the commercial auto claim ratio increased to 79.8% this quarter compared to 78.4% last year and in a similar vein, the year-to-date claim ratio came in at 81.1% this year compared to 79.4% last year. We’re experiencing further rate increases in the commercial auto coverage to offset the lost cost trends we’ve been seeing of late and our objective remains to bring this claim ratio down to our historical experience in the low to mid 70s. We also think that advances in technology relating to safety and accident avoidance should at some point help offset the increases in frequency and severity trends that we've been seeing, particularly with commercial trucking as a greater use of newer technology continues as that’s adopted by carriers and as the Federal Motor Carrier Safety Administration’s requirement for electronic logging devices goes into effect at the end of this year. Our second quarter workers' compensation claim ratio increased to 77.4%. This is up from 76.2% in the same quarter last year. Year-to-date, it’s at 76.5% compared to 75.3% in the first half of 2016. Our general liability writings are small in comparison to the other lines that I just reviewed and as such, we experienced more volatility in this coverage. As shown in the supplement, our result in the latest quarter was a claim ratio of 75.4% compared to 52.4% in the second quarter last year. On the other hand, the year-to-date results reflect the lower claim ratio of 65.9% compared to 75.1% in ‘16. As Karl Mueller will discuss shortly, it's important to note that all of the claim ratios that we post and discuss are inclusive of both favorable and unfavorable claim development and as I say, Karl will talk a little bit more about that shortly. From both a premium and claims standpoint, most remaining coverages performed within our expectations. In light of the competitive marketplace, all of our underwriting units remain very focused on underwriting discipline with a profitability focus taking much greater priority over top line premium preservation or premium growth. So with that said, I'll turn the discussion to my colleague Rande Yeager for his comments on our high performing title business.
Rande Yeager: Thank you, Craig. I appreciate it. Well, I’m happy to report that the Old Republic title business achieved new highs in each of the first two quarters with pretax operating income. And afterward 40.4 million pretax operating income in this year’s first quarter, we followed that up with a gain of 65 million in the second quarter. First quarter operating income represented 89% increase over the previous year’s quarter, while the amount posted the second quarter represents a 46% increase year-over-year. With two record quarters like that, I assume we set another record for profitability in the first half of the year and pretax operating income of 105.5 million this year represents $39.4 million or 60% increase over 2016’s mid-year high watermark. It’s noteworthy that the mortgage banker’s associated originally recorded that residential mortgage originations were down about 14% for the first half of the year and most of that decline can be attributable to finance transactions, which were down about 40% for the first six months. On the other hand, purchase money transactions were up year-over-year by about 10%. Our commercial activity on the other hand was flat and from everything I read, it’s expected to lag a little bit in 2016 performance, the 2016 results. In light of this, we’re proud of the fact that our revenues were up in both residential and commercial title operations. In second quarter, premium and fee revenue was 55.6 million and it was an increase of 31.1 million or 5.9% over 2016. And for the first two quarters, total premium and fee revenue was up 74.9 million or 7.5% over 2016. And there have been a number of factors that have contributed gains. First quarter market share reports a share that we grew, a 15.3% share versus the full year share that we recorded for 2016 at 14.8. Average premiums were up as orders trended away from the refinance activity that we’ve been experiencing and towards purchase money transactions. A lot of the growth in average premium levels gets us to our commercial title operation. Here, we continue to exceed our own lofty expectations. Average premium on commercial transactions climbed over 10% year-over-year. Again following the favorable trends we’ve been experiencing in our claims ratio over the past few years, the first half of the year provided more of the same, favorable claims provisions have certainly proven themselves not to be an aberration in the title industry or even to ourselves. We think that tightened lenders standards and better technology, improved internal auditing controls, they’ve all led to a more predictable and improved result. So our job is to make sure probably as it would be with any industry to select and monitor and control the risk that can be related to claims or operations. They go hand-in-hand and affect our result proportionally. We don’t focus on one area exclusively and when things are going as right as they are now, we’re active on all of our cylinders. As for our other ratios and metrics, they’ve all improved as revenues and profits increased and that’s a good sign. As we indicated that our management is operating as it should be. Well, in summary, what’s up for the future of the title segment? And all I can say is that we promise that we’ll do at least as well as the market will allow. Certainly, our objective is to maximize our success under a variety of market conditions and so right now, I’d just say that it’s pretty steady course without the potential for a whole lot of surprises. And that sort of does it for the report on the title company. With that, I’ll turn it over to Al for comments on the runoff business.
Al Zucaro: Okay. So let me talk a bit about that business. The MI portion of this segment continues to move along the basic runoff model that we constructed back in 2011 or thereabouts when the business was moved to a run-off mode. And as we look ahead, we anticipate a fairly decent housing and related mortgage banking sector just as Randy explained. And as a result, we still believe that this business is likely to runoff positively until the policies that we need in force today or ultimately drop off the inventory by 2022 or thereabouts. And so that between now and then, we’re reasonably certain that we are, I should say, we're really certain that we're going to figure out the most appropriate way for activating a best long term outcome for what we consider to be a most valuable and very viable operating franchise that we have in our RMIC companies. As to be the other part of this run-off namely the consumer credit indemnity or CCI portion of the business, as we call it, that run-off continues to perform as anticipated but -- and that means in a fairly volatile mode. And among other things of course, what’s driving that volatility to a large degree is the fact that we’re still dealing with an 80-year plus litigation saga with one of our country’s largest banks and its ill-fated purchase of those countrywide mortgage banking business subsidiaries that it acquired during the Great Recession years. So far, obviously a mutually satisfactory settlement of the dispute has been challenging and obviously has eluded us. It just remains to be said, it could be seen whether the two sides in this saga, we’d be able to see eye to eye and come to a reasonably fair resolution and provide the necessary financial regress that each side is looking forward to. Having said that, I do have to say that we're not without hope that this as well as a much smaller dispute in the CCI area with another former customer can yet be resolved within realistic parameters of indemnification. And that’s about it with respect to this run-off business. It’s fundamentally steady as she goes, and we think we’ll come out of it okay. So I think we can continue to this discussion now with your Karl, and for any, for your additional comments on the financial aspects of our business.
Karl Mueller: Sounds great. As was mentioned earlier and as usual, I’ll focus my comments this afternoon on some of the key elements of Old Republic’s financial position. So starting with the balance sheet, the investment portfolio grew by approximately one 182 million over the first six months of this year, 74 million of which rose from market appreciation. Fixed maturity and short term investments make up right at 75% of total invested assets. I would say the overall credit quality retains it’s a grading overall with an average maturity of almost five years. Equity securities make up the remaining 25% of the total portfolio and that's up from approximately 23% allocation at the end of 2016. The equity portfolio grew by 285 million over the first six months of this year to almost 3.2 billion as of June 30. Of that growth, approximately 18% is attributable to market appreciation. I will say that we remain focused on high quality dividend yielding stocks. The portfolio at June 30 consist of a few more than 100 individual equity securities and those represent primarily blue chip companies, REIT index fund and utilities. We manage the equity portfolio to within internally developed risk tolerance levels. As of June 30, we are trending towards the top end of those levels. Net investment income grew about 6% period over period and that's largely attributable to a rising investment balance in a relatively stable yield environment. Another contributing factor impacting investment income is the increased allocation to state and muni tax exempt securities that generally carry a lower stated yield and are reported as held to maturity investments on the face of the balance sheet. The balance has grown from 629 million at the end of June 30 of last year to almost 1.1 billion this year. It represents about 8% of the portfolio as of mid-year 2017. So as a consequence of this changing mix, the overall pretax yield on the portfolio has declined slightly year-over-here, however these securities do tend to produce better post-tax yields. And I would say the vast majority of these munis are held in our General Insurance Group, which is also a contributing factor in the moderating growth in that segment’s net investment income. Moving to the liability side of the balance sheet, the consolidated claim reserves experienced favorable development overall during the second quarter and first six months of this year. The effect was to reduce the reported consolidated claim ratio by 0.2 percentage points for the quarter and 0.6 percentage points for the year-to-date period. This compares to favorable development of 1.7 and 1.0 percentage points for the same period of 2016. As noted in this morning's release, the General Insurance Group experienced unfavorable development for both 2017 periods. That development is largely centered in the commercial auto, in other words our trucking operation, the general liability and the workers' comp insurance coverages. And that said, we believe that we’re being more assertive in addressing issues as they become evident and are optimistic that these unfavorable development occurrences will moderate, if not turn themselves around as the year progresses. On the other hand, title group claim reserves reflect favorable development as we've noted in the release. These developments are reflective of a continuation of favorable loss development trends that we've seen in recent history. As we've done in the past, we draw your attention to page five of the financial supplement and to the line that’s titled Reserves to Paid Losses Ratio. This ratio measures the carried reserves and relationship to the average of the past five years paid claims. In our opinion, the higher the ratio, the greater the title insurers’ ability to meet its obligations to policyholders. And the ratio that we posted as of June 30th is 9.4 to 1. And that remains essentially unchanged from year end 2016 and again we believe that’s indicative of this segment’s strong reserve position. Claim reserves in the mortgage insurance business of the RFIG run-off segment developed favorably during 2017 as we’ve noted, although to a less degree as the book value of the business continues, excuse me, as the book of business continues to shrink. Turning then to operating cash flows, these were up by 95 million to 259 million for the first six months of this year compared to the same period last year. The increase was driven primarily by a combination of higher net written premiums and lower paid losses. And finally, Old Republic's book value per share at June 30 increased by 3.8% to $17.85 and we’ve summarized the main elements of this increase on page 7 of the release. The capitalization ratios that we show in the table on page 7 are essentially unchanged from those recorded at the end of 2016. So those are the highlights I wanted to address. And I’ll turn it back now to Al for some additional comments.
Al Zucaro: Okay. So there you go. That’s our embroidery and this morning’s earnings release. I have to say that the totality of our underwriting focus as is shown on the first pages of the earnings release, remains very stable. For example if you look at page 5 of the release, you can readily see that the consolidated composite ratio of claims and expenses to premiums and fees continues in the traction that here is about 95%. And this is reasonably good in context of the underwriting and overall economic cycles in which our entire business is operating. This is especially so we think, in the context of the positive operating cash flows that our collective businesses are contributing. Again, if you look at the earnings release on the bottom of page 5, we’ll see that if we exclude the negative cash flows, which is expected in the run-offs segment that the consolidated business, the other parts, the major parts of the consolidated business is producing operating cash flows that were about 46% higher $320 million roughly for the first half as we show at the very bottom of page 5. And of course this level of cash flows is provided very good operating liquidity to benefit additions to be the investable funds account as well as our ability to upstream sufficient dividends to the parent holding company for shareholder dividends and debt carrying costs that we need to honor. Also from a liquidity standpoint, I might note that in addition to Karl's points just now, we do a poor liquidity funds in the non-regulated parts of the consolidated ORI business and those are sufficient in our view to take care of possible cash cost from capitalization standpoint as well as for any mid-term capital support needs or commitments that we currently have to various insurance underwriting subsidiaries. Overall, we think that the North American economy to which we are committed and in which our focus remains is likely to remain in a slow growth mode for the foreseeable future. But nonetheless, we believe that our services in some it's more important industry sectors should really allow us to grow the consolidated business at a faster clip than the economy at large. When all said and done, we're able to manage our business on the strength of a very strong balance sheet as Karl just mentioned. And this will certainly continue to allow us to compete on a level playing field will all comers in the various areas of underwriting and related services where we have long-term expertise. So let’s see, so let's stop them on this, what I think is a positive note and outlook for our business. And let's turn it to any questions that may be out there among the participants in this discussion today. So operator, are you still there.
Operator: Of course, thank you. [Operator Instructions] Our first question comes from Greg Peters with Raymond.
Greg Peters: I have a number of questions. I’ll try and limit it to a few and then re-queue if necessary. Karl, I was listening intently to your commentary around the general insurance reserve development and was instantly noted your comments that you expect the reserve development trends to become more favorable in the balance of the year. And I'm just curious what kind of additional commentary can you provide that gives you the confidence that those trends will indeed improve?
Karl Mueller: Al, you want me to take that one?
Al Zucaro: Yes, yes, yes.
Karl Mueller: I think we take a critical looking at our reserve position each and every quarter and feel very good about our process overall. In terms of what's driving some of the development, it really is going to vary from one type of coverage to another. In short term, business such as our auto physical damage coverages tends to develop a lot more quickly now and then some of the other longer tail lines of business. So from that standpoint we've seen some trends that we've tried to address. As soon as the evidence presented itself and we think we've done that. We've also taken action relative to case reserving in instances where that was necessary and all of that is factored into our decision making process when we set the reserves each and every quarter. So I’ll add to say that we feel very good about the process and feel as though some of the issues that we've been addressing are closer to the end than the beginning.
Greg Peters: I appreciate that color. As observers of your company we've been surprised by the adverse developments and have expected it to start to improve. I guess the second quarter kind of caught us by surprise in that regard. But I'll take you up your face value for the comments you made. On the premium side, is there something going on in the workers' comp line. The loss ratio is up and the premium is down, is there some accounts that you've been losing or is that just general market pressure that's caused the earned premium to be down quarter over quarter.
Karl Mueller: Why don’t you answer that Craig, since its right up your ally?
Craig Smiddy: Greg, it's probably a combination of those things that you referenced. We still have been experiencing a very competitive environment in our large construction book of business. That will result in lower lighting because as I mentioned in my commentary, we will not chance after retaining business or writing business if the bottom line profitability isn’t there. So that’s an example of where there is reduced writing, as I think we also mentioned in the release, the oil and gas business has offered less opportunities to right business and continues to pull back in the US or moderate. And then the other issue that I mentioned in my comments is that, you look at what the rating bureaus are doing and for the most part there are filing rate decreases in a lot of states because of favorable results that have been coming through on workers' compensation. So the negative part of that for us is that it's difficult to get rate increases as I mentioned on that line of business. So you don't have the top line growth coming either organically or coming from rate increases. As such you have a more muted topline on that line of business.
Al Zucaro: Let me add Greg, a couple of thoughts as I reflected on your question that Karl addressed before and addressed it correctly I might say. But one of the things that we focus on and I think you and others need to focus on is that the fact that quarterly trends and happening really don’t mean very much. And I think you need to look at the quarters in the context of a similar quarters in the past. And what they indicate occurred for the full year. And I know that you - since you, you in particular follow the company for a long time. That if you focus on the reserve development percentages that we have been posting for quite a number of years and you focus on the annual amounts or percentages of either positive or favorable or unfavorable development, you will see that particularly since we took a big hit in 2014 that the trend has been definitely moving downward fairly strongly. And I think that’s why Karl said what he said about being optimistic that thing is - has been and will continue to turn itself around. For example, we went from looking at some numbers that I picked up as the Greg was talking just now. If you go back to ’13, we had a 0.9% favorable development, and then wham oh in ’14 we had unfavorable development of 3.9 points. And then in ’15 that improved to a much smaller less than half unfavorable development of 1.5 percentage points. And then last year, in its totality we had 0.3. So our guess is that for at least on the full-year basis we should continue to see that kind of alignment in trends of development.
Greg Peters: Excellent color, thank you for the follow-up commentary Al, that was helpful. I just wanted two other areas, I'd be remiss if I didn't lob a question in Rande's direction. Specifically, the claim ratio is continuing to do quite well in your business, Rande. When I think about where I should peg from a forecasting perspective a claim ratio, should I look at the paid loss ratio is sort of the benchmark because it’s certainly running a little bit higher than your claim ratio and maybe that's the true benchmark. But I thought I'd ask you for your opinion.
Rande Yeager: And that's probably right. We recognize you know we got such a long tail on losses in our business Greg, we can you know eight years ago, five years ago, ten years ago, 20 year tail. It kind of makes it more difficult to kind of peg those loss provisions on an annual basis. So we’re constantly doing adjustments that maybe not as current as you might be able to peg with current type of evaluation.
Greg Peters: And Rande just on you know it seems there are some headlines on refinancing and purchases in order flow, you're gaining market share, is your expectation that market share trajectory or continued growth is going to continue for you know through the next year or so or is that or you hitting an inflection point where your market share will stabilize?
Rande Yeager: You know what it's certainly a goal and we're constantly improving the day we do business, to attract new customers and more business from existing customers. And so we always anticipate that we're going to be able to grow market share. You got to look at it as a trend instead of maybe quarter to quarter because it will vary amongst the companies and depending on the mix and where our markets are strong, Florida is doing really well that helps us. Different things influence market share, so we don't really drive a company by market you know going after market share. But we certainly see a trend upwards. And we work hard to improve everything. So that's just one of the elements we’re after.
Greg Peters: And the final question, I promise, Al in your comments regarding RFIG and specifically RMIC, you used a word that caught me by surprise, activating. Can you please provide some additional color about what you meant by that?
Al Zucaro: Well, I meant activating in some fashion outside of the Old Republic Holding company system. We think that down the road there's going to be basis for activating that company in one fashion or another, but even though we do not at the moment have any aspirations to forceful reenter the business.
Operator: [Operator Instructions] It appears there are no further question at – I apologize we do have a follow-up question from Greg Peters with Raymond James.
Greg Peters: Sorry, I didn’t want to hog all the Q&A time.
Al Zucaro: Yes, you can Greg, go ahead.
Greg Peters: So just as a follow up, when I think about the general insurance business, you obviously have a focus on the three principal coverages, the commercial auto, workers' comp and general liability. But then you also identify the other coverages and I'm just curious if the expense ratio in the three main businesses is different than the expense ratio in the smaller other businesses.
Al Zucaro: Well, there's no question that some parts of the business both for us and for the industry at large carry a higher expense ratio. And that’s driven by one, market considerations on the one hand i.e. competition. But just as importantly that's driven by the long term claim cost component of underwriting. So if you have a business like let’s say surety, which is fundamentally a claims or loss mitigating type of business, you would tend to see there a higher expense ratio then you will see in worker’s comp where losses will go anywhere between 70% and 80% depending on good or bad the book of business is and where the expense ratio particularly driven by the commission levels, it will be on the low side. So we try to grow our business in terms of risk appetite and part of - one of the important jobs we have as underwriters is to be selective about those types of coverages that we will emphasis or de-emphasis. But also take full advantage of the law of large numbers and the absolute necessity just like in the investment business to diversify the book. And when you diversify as you change in some of those diversification aspects, you will inherently change the overall expense ratio. But in total, we think that long term as we, I think I’ve said in our management letters year in and year out, we think that an expense ratio of 24% to 25% for us is probably right given the current mix of business which we incidentally do not expect to change. That's a long winded answer to your question about what to expect on the expense ratio.
Greg Peters: I appreciate your long-winded answer. And as just a follow up to Craig’s comments in the opening or prepared remarks. I know you talked about the electronic logging devices. I'm just curious to what extent that could have an impact on driver behavior or provide different way. In your experience at Old Republic, what percentage of the driver is actually try and skirt current regs in order to load up on hours.
Craig Smiddy: Yes Greg, I’ll try to give you a little more color around that. This initiative has been in the works for a while and most of my comments here relate to the trucking business. And it’s the case that I would say the majority of our fleets that we ensure already have on board automatic onboard recording devices. And as you may know, part of the Federal Motor Carrier Safety Administration requirement that the electronic logging devices are implemented by the end of this year is that if those vehicles already have the automatic onboard recording devices, they are grandfathered to move to the electronic logging devices by the end of the 2019. So what it is, is really a much more gradual impact on the business when it comes to this particular technology and most of our fleets are already operating with some form of technology. So as we continue I don't know that the ELDs are going to have that much of a different impact than the automatically onboard recording devices already have in that fleets. There probably will be more of an impact on the single unit and smaller trucking fleets that maybe have not yet adopted any automatic onboard recording device where they will for the first time implement the ELD by the end of this year. But again the vast majority of the trucks that we insure on the road do have something. And therefore I think it will be a much more gradual impact in that respect.
Greg Peters: And as a follow up for your commercial trucking accounts, to what extent are you aware of how active or how involved they are with managing driver cell phone usage while they're driving? Do they have programs in place, do they have mandates in place et cetera.
Craig Smiddy: I would tell you that virtually every one of our fleets have this issue at front and center within their safety program and certainly our folks that focus on risk control and safety have at it front and center of their safety initiative as well. So distracted driving is one of those things that has I believe contributed to the increase in frequency and severity that we see in the marketplace in general. And that is recognized by the industry and there are numerous technologies and different type of safety standards being enacted to try to mitigate those issues. And then of course you have a lot of other technologies that are accident avoidance types of technology that also are being taken up then and ever increasing in the vehicles as well that should help mitigate the frequency and severity that’s been caused by distracted driving.
Greg Peters: Craig, do you think we're in the early innings of the usage of that type of technology or do you think we're in the middle stages?
Craig Smiddy: I think, depending on what new technologies continue to appear on the shelf, with respect to existing technologies, I would say that we're in the middle innings. And again it's a very similar to the feedback I gave you on the electronic logging devices and automatic onboard recording devices. It’s the case that the larger fleets have implemented many new technologies and that continues to progress down to smaller fleets as time goes on.
Operator: And it appears there are no further questions at this time. Mr. Zucaro, I'd like to turn the conference back to you for any additional or closing remarks.
Al Zucaro: Well, thank you. And thank you, Greg, for bringing some outside life into our discussion. Appreciate that very much and personally I have say given the dearth of questions, other than yours Greg Peters that that would seem to imply that we’re doing a seasonally good job of reporting on our results in a straightforward fashion and focusing on both the formal earnings release as well as in commentary on what reason is important to understand what is happening with our company and what is likely going to happen to it going forward. So on that note, again we thank everyone for participating in this call and we look forward to our next semi-annual discussion which will take place in January of next year after the full-year results published. So thank you and you all have a good day.
Operator: And that does conclude today’s conference. We thank you for your participation.